Operator: Good morning, everyone, and welcome to Marcus Corporation Second Quarter Earnings Conference Call. My name is Bailey, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded. Joining us today are Greg Marcus, Chairman, President and Chief Executive Officer; and Chad Paris, Chief Financial Officer and Treasurer of Marcus Corporation. At this time, I'd like to turn the program over to Mr. Paris for his opening remarks. Please go ahead, sir.
Chad M. Paris: Good morning, and welcome to our fiscal 2025 second quarter conference call. I need to begin by stating that we plan to make a number of forward-looking statements on our call today, which may be identified by our use of words such as believe, anticipate, expect or other similar words. Our forward-looking statements are subject to certain risks and uncertainties, which may cause our actual results to differ materially from those expected or projected in our forward-looking statements. These statements are only made as of the date of this conference call, and we disclaim any obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. The risks and uncertainties, which could impact our ability to achieve our expectations identified in our forward-looking statements are included under the heading Forward-Looking Statements in the press release we issued this morning announcing our fiscal 2025 second quarter results and in the Risk Factors section of our fiscal 2024 annual report on Form 10-K, which you can access on the SEC's website. Additionally, we refer you to the disclosures and reconciliations we provided in today's earnings press release regarding the use of adjusted EBITDA, a non-GAAP financial measure, in evaluating our performance and its limitations, a copy of which is available on the Investor Relations page of our website at investors.marcuscorp.com. All right. With that behind us, let's begin. I'll start this morning by spending a few minutes sharing the results from our second quarter and discuss our balance sheet and liquidity. I'll then turn the call over to Greg, who will focus his prepared remarks on where our businesses are today and what we are seeing ahead. We'll then open up the call for questions. As we shared on our last call, the second quarter began with strong performances from several blockbuster films that exceeded expectations in April. This strong momentum in our theater division continued into the summer with a significantly improved film slate, bringing a string of great box office performance that delivered year-over-year growth for the second quarter. In our hotel division, we executed on strong group bookings that drove overall revenue growth even with the disruptions from hotel renovations. I'll start with a few highlights from our consolidated results for the second quarter of 2025. Consolidated revenues of $206 million were up 17% compared to the prior year quarter, with revenue before cost reimbursements growing in both divisions. Operating income for the quarter was $13 million, an increase of $10.8 million compared to the prior year quarter. Consolidated adjusted EBITDA for the second quarter was $32.3 million, a nearly 47% increase over the second quarter of fiscal 2024. Net earnings for the quarter was $7.3 million or $0.23 per share compared to a net loss of $5.2 million or $0.17 per share, excluding the impacts of our convertible debt repurchases in the second quarter last year. The change in our fiscal year and quarters did not impact our second quarter results with a comparable number of operating days during the quarter in both fiscal 2025 and fiscal 2024. Turning to our segment results. I'll begin this morning with our theater division. Second quarter fiscal 2025 total revenue of $131.7 million increased nearly 30% compared to the prior year second quarter. Comparable theater admission revenue for the second quarter increased 29.3% and comparable theater attendance increased 26.7% compared with our fiscal second quarter 2024. When using our comparable fiscal days, according to data received from Comscore and compiled by us to evaluate our second quarter results, U.S. box office receipts increased 36.5% during our fiscal 2025 second quarter compared to U.S. box office receipts during the second quarter last year, indicating our admissions revenue performance trailed the industry by approximately 7 percentage points. We believe that our lower box office performance during the second quarter was primarily attributable to two factors. First, while the other major exhibitors implemented blockbuster pricing surcharges on many films during the quarter, our pricing strategies during the quarter continued to focus on driving attendance and the ancillary revenue that goes with it. We continue to optimize pricing with a variety of promotions for different types of customers while capturing a premium for peak days of the week, showtimes and holiday periods. And second, several films, including F1, Mission: Impossible - The Final Reckoning, Ballerina, and Karate Kid did not perform as well in our Midwestern markets as in other parts of the country. The total box office in our top markets underperformed the overall increase in the national box office. We believe this is partially attributable to the stronger relative performance of these films in markets where we do not have a presence, particularly on the coast. Average admission price increased 2% during the second quarter of fiscal 2025 compared to last year, which was impacted by a favorable mix of films that attracted audiences to PLF screens and by headwinds from our strategies to drive attendance through various value-oriented programs and promotions that are designed to encourage repeat moviegoing. Our Everyday Matinee program was introduced at the end of May 2024 and will no longer be a headwind to our admission per cap growth beginning in the third quarter this year. This program recently moved from the initial $7 pricing to $7.50 and on some films $8.50. In addition, we began implementing pricing surcharges on select high-demand summer blockbuster films at the end of the second quarter, which we expect will benefit our admission per cap growth going forward. Our average concession food and beverage revenues per person at our comparable theaters increased by 3.1% during the second quarter of fiscal 2025 compared to last year's second quarter, which was driven by an increase in merchandise sales and pricing. Merchandise sales, which are included in our concession food and beverage revenues are typically at lower margins than our traditional concessions offerings due to the higher cost of product, while merchandise sales are dilutive to concessions margins, they have resulted in incremental revenue and earnings. Our top 10 films for the quarter represented approximately 76% of the box office in the second quarter of fiscal 2025 compared to 73% for the top 10 films in the second quarter last year. The more concentrated film slate featuring more blockbuster films compared to a weaker slate in the second quarter last year resulted in an approximately 2 percentage point increase in overall film cost as a percentage of admission revenues. Finally, theater division adjusted EBITDA during the second quarter of fiscal '25 was $26.5 million, a 76% increase over the prior year quarter. Turning to our hotels and resorts division. Total revenues before cost reimbursements were $64.6 million for the second quarter of fiscal 2025, a 1.2% increase compared to the prior year. The RevPAR for our comparable owned hotels decreased 2.9% during the second quarter compared to the prior year, which resulted from an overall occupancy rate decrease of 5.4 percentage points, partially offset by a 5% increase in our average daily rate, or ADR. Our average occupancy rate for our owned hotels was 67.3% during the second quarter of 2025. Our occupancy rate decrease was impacted by the Hilton Milwaukee renovation, while guest rooms were out of service. The summer travel and convention season ramped up, generating higher demand for rooms throughout the week, as expected, the impact of having rooms out of service and turning business away to competitors in the market during the renovation was more pronounced. While we were able to shift business to our two other hotels, the Fister and St. Kate, to mitigate the impact of the renovation on the overall portfolio, there was occupancy displacement from business turned away due to the reduced available rooms. As we recently announced, the guestroom renovation portion of the project was completed at the end of June with all rooms returned to service. While the renovation of the meeting in common space will continue over the next several months, we expect a more limited impact to room sales beginning in the third quarter. According to data received from Smith Travel Research, comparable competitive hotels in our markets experienced RevPAR growth of 2.9% for the second quarter of 2025 compared to the second quarter last year, indicating that our hotels underperformed the competitive set by 5.8 percentage points. Our lower performance relative to the competitive sets results primarily from displacement at the Hilton Milwaukee well under renovation, which we believe unfavorably impacted our RevPAR growth by nearly 4 percentage points while favorably impacting competing hotels RevPAR growth by approximately 1 percentage point. After adjusting for the impact of the Hilton Milwaukee renovation, we believe our hotels RevPAR growth was within less than 1 percentage point of the competitive set and attribute the slightly lower performance to new hotel room supply within one of our markets. When comparing our RevPAR results to comparable upper upscale hotels throughout the United States, the upper upscale segment experienced effectively flat RevPAR growth during our second quarter compared to the second quarter last year, indicating that our hotels underperformed the industry by 2.9 percentage points but outperformed the industry by approximately 1 percentage point when adjusting for the estimated impact of the Hilton Milwaukee renovation. With the strong growth in group business and events, our banquet and catering operations continue to grow, with food and beverage revenues up 10.5% in the second quarter of fiscal 2025 compared to the prior year. Finally, hotels adjusted EBITDA decreased $200,000 in the second quarter of fiscal 2025 compared to the prior year quarter and was impacted by changes in our revenue mix, with a decrease in higher-margin rooms revenue due to the impact of the Hilton Milwaukee renovation, offsetting the increase in comparatively lower margin food and beverage revenue. Shifting to cash flow and the balance sheet. Our cash flow from operations was $31.6 million in the second quarter of fiscal 2025 compared to cash flow from operations of $36 million in the prior year quarter, with the decrease in cash flow primarily attributed to timing of accounts payable and certain annual payments. Total capital expenditures during the second quarter of fiscal '25 were $16.9 million compared to $19.8 million in the second quarter of fiscal '24. A large portion of our capital expenditures during the second quarter were invested in the Hilton Milwaukee renovation with the balance going to maintenance projects in both businesses. Our capital investments and renovation projects have progressed as planned, and we continue to expect capital expenditures for fiscal 2025 of $70 million to $85 million. The timing of several projects will impact our final capital expenditure number for the year, and we will update our estimates as the year progresses. We ended the second quarter with approximately $15 million in cash and over $214 million in total liquidity with a debt-to- capitalization ratio of 29% and net leverage of 1.6x. With that, I will now turn the call over to Greg.
Gregory S. Marcus: Thanks, Chad, and good morning, everyone. When we spoke at this time last year, we were reporting a quarter that was impacted by the lingering effects of content supply challenges created by the Hollywood strikes in our theater business. What a difference a year makes? Today, we are thrilled to report second quarter results with significant growth that was driven by a high-quality and diverse film slate, coupled with strong consumer demand to experience these blockbuster films in the big screen. This was a quarter that showcased the enduring appeal of the theatrical experience and the remarkable resilience of our industry. In hotels, while the second quarter got off to a slower start, it picked up momentum and delivered results that were in line with our expectations overall. We completed major milestones on schedule in our renovation and construction projects while minimizing the impact on operations and still delivering exceptional experiences for our guests. Overall, we are pleased with the results for the quarter and we entered the third quarter with solid momentum. I'll start with our theater division. The most encouraging aspect of this quarter's success was the sheer diversity of the films that drove our performance. This wasn't a story about a single genre or franchise carrying the market, it was about multiple films from different studios with different target audiences, all succeeding at the same time. As we shared on our last call, the second quarter got off to an incredible start with the record-breaking A Minecraft Movie creating a cultural phenomenon that became a must-see film in theaters. With a total domestic growth of over $423 million, this film proved its ability to mobilize a massive, passionate and youthful fan base, creating an electric atmosphere in our auditoriums that simply could never happen at home and living rooms. Lilo & Stitch captured the hearts of families and grossed over $420 million domestically. While Sinners delivered a triumph of originality. In an era often dominated by sequels and established IP, Sinners proved that a bold original R-rated film can become both a critical and commercial success. This historical horror film earned both critical and audience acclaim driving incredible word of mouth to become the highest grossing original horror film in North American history, while demonstrating a strong market appetite for fresh stories aimed at an adult audience. This trio of our top films in the quarter was supported by the steady reliable performance of beloved franchises. Mission: Impossible - The Final Reckoning and live-action adaptation of How to Train Your Dragon delivered the blockbuster action and adventure that audiences expect from summer tentpoles, rounding out a truly robust and varied slate. The film slate was stronger, both in terms of the quantity of wide release films, which grew from 28 in the second quarter last year to 32 this year and also in terms of a steady cadence of quality releases with a diverse slate of films that brought audiences back to our theaters. Chad discussed the factors we believe are impacting our box office performance relative to the nation, and I'd like to expand on this a bit. As we shared the last few quarters, our strategy has been focused on driving long-term attendance, total revenue and overall profitability. Box office growth relative to the nation is one of several measures we look at to evaluate our performance, but we're really focused on optimizing total revenue growth, including ancillary revenue and the ultimate contribution that each incremental customer brings to the bottom line. While our pricing strategies and promotional programs over the last year created a short-term headwind to our admission forecast, we believe they are important drivers of long-term future attendance. Over the last year, since introducing these programs, we've seen attendance growth rates that have outperformed other major exhibitors in 3 out of the last 4 quarters, and we believe these attendance gains help build our base of regular moviegoing customers. As we pass the 1-year mark for these changes, we expect improved admission per cap growth in the second half of this year. The competitive pricing environment in our industry continues to change with several exhibitors experimenting with different strategies. We continue to optimize our regular ticket prices in our markets to ensure we remain competitive and offer attractive value to all types of customers while capturing a premium during our peak demand periods. Last quarter, I shared that we were working on several investment projects focused on increasing per capita revenues. I'm pleased to provide an update that in June, we completed projects to add concession stands, two of our formerly dine-in only Movie Tavern locations in New York and Pennsylvania, with the third location in Kentucky completed in July. These locations previously only offered customers concessions, food and beverage ordering through our mobile app or at the bar for delivery to your seat. By adding walk-up concession stands where customers can order all food and concession items as well as pickup for mobile concessions orders and self-serve soda, we expect to capture higher per capita concession sales while streamlining labor from our service delivery model at these locations. Looking ahead to the third quarter, the summer movie season continued in July with solid performances from Jurassic World Rebirth, Superman and last weekend's opening of The Fantastic Four. The remainder of the summer includes the Naked Gun, the Bad Boys 2, Freakier Friday, The Conjuring: Last Rites, and Downton Abbey: The Grand Finale. We're looking forward to an exciting fall and holiday film slate with Tron: Ares, Wicked: For Good, Zootopia 2 and Avatar Fire and Ash, just to name a few. There are many more great films coming noted in today's earnings release. Looking even further ahead, 2026 film slate also looks strong with major franchises, including Spider-Man: Brand New Day, Super Mario Bros. Movie 2, Moana, Jumanji 3, Toy Story 5, Mega Minions, The Mandalorian & Grogu, and the Avengers: Doomsday, just to name a few. In summary, we continue to see improvements in content supply, and this quarter of growth was another significant step forward. Moving to our hotels and resorts division. You've seen the segment numbers, and Chad shared some additional detail on the performance metrics, including our strong average daily rate growth. I'll start with an update on the Hilton Milwaukee renovation. As we plan this project, we intentionally scheduled as much of the guest room renovation work as possible during our seasonally slower winter months in our fourth quarter last year and first quarter this year to minimize disruption. As we expected and planned for, some of the work trailed into the spring and resulted room displacement while rooms were out of service during the second quarter. I'm pleased to share that our team executed the largest renovation project in our company's history on schedule, and all of the guest rooms went back in service at the end of June. As planned, the meeting space, ballrooms and common area renovations will continue for the next several months, but the most significant work and disruptions are behind us. I want to thank our outstanding project management team and the team at Hilton Milwaukee for successfully completing the most operationally difficult phase of the project. I would also like to thank our teams the Fister and St. Kate hotels in Milwaukee for accommodating customers and delivering exceptional service as we shifted business between the hotels during the project. There are several other notable items in the quarter that I'd like to highlight. We continue to drive rate growth with average daily rate growth at 5 of our 7 hotels. In addition to our focus on optimizing revenue management, our rate growth has benefited from our ability to command higher rates at our hotels with newly renovated room product, including the Fister, Grand Geneva and the newly renovated rooms at Hilton Milwaukee. Group business during the quarter was stable, and we continue to win in the market. Once again, helped by our newly renovated meeting space and ballroom at several properties, the bookings continue to look solid with our group room revenue bookings for fiscal 2025 or group pace in the year for the year, running slightly ahead of where we were at this time last year, even when including the RNC group business in the third quarter last year. Even more encouraging, group room pays for 2026 continues to run 20% ahead of where we were at this time last year for the next year out, with banquet and catering revenues similarly running ahead of last year's pace. While some industry surveys have seen a pullback in consumer spending on travel nationally and some markets have seen more significant leisure softening, our own portfolio has generally performed well. We believe our upper upscale positioning and drive- to-market locations and a broad segmentation lessening our exposure to any one type of customer. We'll see less volatility if further economic softening occurs. The current state of our hotel business remains stable and consistent with our view last quarter. While we've not yet seen any meaningful change in transient demand or significant cancellations of group business at our portfolio hotels, there remains an increased level of incremental uncertainty compared to where we were a year ago. If we begin to see softness, we are prepared to react and adjust quickly. Finally, I'd like to briefly comment on capital allocation. Chad reiterated our capital expenditure guidance earlier in the call. We still have a lot of work remaining on our capital projects this year. As we start to think about 2026, we do see a meaningful step down in capital expenditures as we get past the heavy part of the reinvestment cycle, and that we are in this year with our current hotel portfolio. We continue to look for opportunities to deploy capital to grow both of our businesses with value-accretive investments. We have confidence in our businesses and a strong balance sheet that allows us to move quickly when we see good opportunities. And we have a history of executing when they arise. To the extent that we don't see attractive investments that are actionable, we expect to return excess capital to shareholders through share repurchases or dividends. Before we open up the call for questions, I want to once again thank all the people that work so hard every single day making our ordinary days extraordinary for our guests. We talk a lot about the investments that we make in our businesses, we can never lose sight of the fact that our people are our most important asset, and they proved that once again this quarter. And with that, at this time, Chad and I would be happy to open up the call up for any questions you may have.
Operator: [Operator Instructions] We'll go first to Eric Wold with Texas Capital Securities.
Eric Wold: One question on each of the two segments. I guess, first on the hotel segment. As you dig into the 20% gain that you're seeing in group pace looking out into 2026, is there any way you can separate the group pace between the Milwaukee area and outside of Milwaukee? Just trying to get a sense of kind of maybe what impact you're seeing from the convention center expansion, maybe what that may be driving in terms of group pace versus maybe kind of just the overall kind of business environment outside of Milwaukee. And then, on the theater side, you noted that you're now starting to take kind of that blockbuster kind of surcharge after the end of the second quarter. How large of a surcharge are you starting to implement? And any way to gauge kind of what percentage of your tickets that may impact kind of on a going-forward basis?
Chad M. Paris: Sure, Eric. I'll start with the question on hotels and then I'll let Greg comment on what we're seeing with the convention center. Look, I think it's an important perspective, we have 7 hotels, 5 of them in Wisconsin, 3 of them in Milwaukee. And our group pace gains have in part been because we've got renovated meeting space and we've got it at 3 of the Wisconsin properties, 2 of them in Milwaukee and in Grand Geneva. And so we're winning in the market for group events with meeting planners because of the quality of the assets and the positioning. I think as we look out to '26, there's certainly some positive benefits of the convention center in the market. I don't have specific splits between how much is Milwaukee versus the rest of our portfolio. Maybe Greg can add some commentary anecdotally on what we're seeing with the convention center.
Gregory S. Marcus: It's very anecdotal, just that it's going -- I think everyone is pleased with the trajectory. I mean it's -- we're definitely seeing increased activity because of the center now that it's open and people are coming to see it. But I don't have the specific numbers on where we are right this second.
Chad M. Paris: Yes. And then I'll take the second question on theaters with the pricing. A couple of things. So I mentioned the changes to Everyday Matinee and the magnitude on those. Those will start to come through in Q3. That's moving that program from $7 to $7.50 and on certain films $8.50. And that $1 delta on certain films is what we're doing with generally with blockbuster pricing across a number of different films. And we're still going to be thoughtful about what types of films and what audiences were going to put blockbuster pricing on. As you know, our approach on this has been pretty cautious, and we're still very much committed to driving attendance because getting people in the door is really paramount to driving overall total revenue and the ancillary revenues that go with it. But it will provide uplift to admission per caps in the second half of the year.
Gregory S. Marcus: Because one thing we do know is moviegoing is a ritual, you come, you see trailers and you come again. So that investment -- we view it as an investment to build that attendance.
Operator: The next question today comes from the line of Drew Crum from B. Riley Securities.
Andrew Edward Crum: Wondering if you're willing to share some preliminary thoughts for the domestic box office going into the second half. And it looks like July ended down about 7%. The industry is going to be lapping a tough comparison in 4Q against what looks to be a pretty good slate for the holidays. So a lot of moving pieces there, but how do you see the second half shaking out for domestic box office?
Gregory S. Marcus: Man, it's -- you're right. We're lapping some tough comparisons. But we also have some good film coming at least certainly at the end of the year, with Wicked then the Avatar, that should be very -- both should be very strong. We -- I find it very hard to predict how the box office is going to do in any period of -- any short period of time. It just it's -- you just don't know. But it looks very positive, and we should end up strong.
Chad M. Paris: Yes. And Drew, I would just add to that one housekeeping item. So as -- as you may know, we've got a change in our fiscal year this year. And so last year, the year ended on December 26. This year, we will pick up the full week between Christmas and New Year's. And so for us, that fourth quarter growth will benefit from that. So we're going to have a good quality slate and a good number of films, and we're going to have a few more days.
Andrew Edward Crum: Yes. Okay. Helpful. And then on the hotel segment, guys, I think a number of puts and takes on 3Q revenue. Can you address those? And how do you see that netting out for the current period?
Chad M. Paris: Yes. I mean -- so we've done extremely well with our banquet and catering business and that really stems from the growth in group that we've seen over the last year and talked about for the last year coming into the bookings. And now those bookings are converting into business. And along with the rooms business for groups, you get the banquet and catering. It does come at a bit lower margins. And so that's a bit of the trade-off that we have going on there. And then added into a take for the quarter was the impact of the Hilton renovation. And when you strip that out, I think all things considered, we're pretty happy with the overall performance in the environment. And as Greg commented, we see stability in continuing bookings in the group business and our transient business is doing pretty well relative to other parts of the nation. So we're -- we'll see where the economy goes overall over the second half of the year, but at least we'll -- the headwind of the Hilton renovation will be behind us. And we should have a little bit easier path operationally.
Operator: [Operator Instructions] The next question today comes from [ Brighton ] Sholl from Barrington Research.
Patrick William Sholl: I guess I had another question on capital allocation. As we move past the reinvestment cycle in hotels, I guess, how long should we think of this kind of being in a maybe -- perhaps a lower CapEx level? Or is there like additional investments within the theater side that would look to step up? And maybe just for some of the properties outside of Wisconsin and how we should think about like the timing of reinvestment cycle for like the Chicago Hotel and the Nebraska Hotel?
Chad M. Paris: Yes, Pat. So the last 3 years really, we've been going through this heavy reinvestment period coming out of the pandemic in CapEx and reinvesting into the hotels. A bit of that we would have done during the pandemic, but it just got deferred. And so we're catching up. The Hilton Milwaukee is by far the biggest project of the various things that we've done over the last 3 years, and it's a $40 million project with about 3/4 of that falling into this year. And then we go into a more normal run rate for CapEx in the hotel business. I would just say there's always some level of refresh or renovations going on across the portfolio with smaller projects but nothing like the magnitude of what we've just gone through. And so I'm not going to provide a specific guide on a number next year. I think if you look at big step up here in '25 and '24, and then you go back and look at where we were in hotels pre-pandemic, you could probably triangulate around what that might be. But I think point being we're going to see a big step in the run rate down next year. In the theater business, we're probably pretty close to the run rate that we've been at. We've done some ROI projects within that, call it, $20 million, $25 million that we're doing this year. And I don't see that range shifting very much going forward with the current footprint of theaters that we have today.
Gregory S. Marcus: And I just even would add on the hotel side. We talked about this before. In addition to just being -- having deferred and bumping into a bunch of maintenance that came up, I mean that CapEx that came up, the nature of some of this CapEx, as we talked, there's 7-year CapEx, which is soft goods, there's 15- to 20-year CapEx, which is going to be more your case goods, your nightstand, things like that. And then you've got your, I would call it, 30- to 40-year CapEx, and that's things like gutting bathrooms and redoing those. And at the Fister, at the Grand Geneva and at the Hilton, we all had the significant bathroom projects that really even exacerbated which would have been a high CapEx period anyway. So it's not -- even as you think out even more long term, it's just not that we won't have those again.
Patrick William Sholl: Okay. On theaters, just with your value matinee pricing, with the increase that you implemented, where is that relative to where it had been before you implemented the value matinee program?
Gregory S. Marcus: Can you ask that question again? What period are we trying to compare?
Patrick William Sholl: I guess maybe comparing the value matinee pricing compared to before instituting the $7 Everyday Matinee?
Gregory S. Marcus: What was our pricing before the $7? It really was very market specific. It was sort of all over the place. And so we -- moving it to seniors and to kids 7 days a week, that was pretty broad. We did that. I have to go back and look and see exactly where we are for all these.
Patrick William Sholl: Okay. And then I guess, lastly, just on the theater footprint. I guess, can you maybe talk about the opportunities for new build or the acquisition market and how you are kind of seeing that evolve with maybe a stabilizing box office?
Gregory S. Marcus: I think that the -- let's take the new build. I don't think there's a lot of new build opportunities. There's going to be some here and there as markets grow and markets will demand in terms of -- there'll be demand in new growth markets. So I don't think that's a huge thing. But we do see -- we are looking at a few here and there. And then on the M&A side, again, it's so hard to predict what's going to happen there. It's not -- it's very sporadic. These are not owned generally by funds that have 5- and 7-year hold period. They're owned by families, who sort of been marching to the beat of their own drummers.
Operator: At this time, it appears there are no other questions. So I'd like to turn the call back over to Mr. Paris for any closing remarks.
Chad M. Paris: All right. Well, we'd like to thank everyone for joining us once again today, and we look forward to talking with you in early November when we release our third quarter results. Until then, thank you, and have a great day.
Operator: That concludes today's call. You may disconnect your lines at any time.